Operator: We thank you for your patience; your conference call will begin momentarily. I’ll be the conference coordinator for today. At this time, all participants are in a listen only mode. However, we will have a question and answer session towards the end of today’s conference. I would now like to turn the call over to your host for today’s presentation, Mrs. Lillian Excorn, Director of Investor Relations. Please proceed ma’am.
Lillian Excorn: Thank you, Bill, and good morning ladies and gentlemen. Welcome to all of you who are joining us either be phone or by webcast. On behalf of the entire Ford management team I would like to thank you for spending time with us this morning. With me this morning are Alan Mulally, President and Chief Executive Officer, Don Leclair, Chief Financial Officer. Also in the room are Peter Daniel, Senior Vice President and Controller, Neil Schloss, Vice President and Treasurer, Mark Schulz and K. R. Kent, Ford Credit Chief Financial Officer. Before we begin, I would like to review a couple of quick items. A copy of this morning’s earnings release and the slides that we’ll be using today have been posted on Ford’s investor and media website for your reference. The financial results discussed herein are presented on a preliminary basis. Final data will be included on our Form 10-Q for the second quarter. Additionally, the financial results presented here are on a GAAP basis and in some cases, on a non-GAAP basis. The Non-GAAP financial measures discussed in this call are reconciled to their GAAP equivalent as part of the appendix to the slide data. Finally, today’s presentation includes some forward-looking statements about our expectations for Ford’s future performance. Actual results could differ materially, adjusted by our comments here. Additional information about the factors that could affect future results and are summarized at the end of the presentation. These risk factors are also detailed in our FCC filings. Included are annual, quarterly, and current reports to the FCC. I will now turn the presentation over to Alan Mulally, Ford’s President and Chief Executive Officer.
Alan Mulally: Thanks, Lillian, and good morning to everyone. We’ll begin by reviewing the key financial results for the quarter. Don will then take us through even more detail, then I’ll come back and wrap it up before we take your questions. Overall, our plan is working and is showing clear signs of progress. Despite the improved results of the second quarter, however, we have a long way to go. The challenges ahead remain formidable, and we expect the second half to be difficult. As shown at the top of the slide, vehicle sales last quarter were nearly 1.8 million units, down 33,000 from last year. Total company revenue, $44 billion, was up about 6% from a year ago. The increase primarily reflects exchange, mix, and net pricing improvements, partially offset by the lower volume. Profit before tax from continuing operation was $483 million, up $774 million from last year. This includes a $1.1 billion improvement in automotive operating profit by lower profits and financial services. Our second quarter net income was $750 million, including $443 million, of favorable pre-tax, special items. We ended the quarter with $37.4 billion in cash, an increase of more than $2.2 billion since the first quarter. I would like to point out that the net results include about $180 million pre tax improvement related to hedges in Jaguar and Land Rover. Now, regarding Jaguar and Land Rover we’ve said in the past that we are assessing our strategic options, and that we have retained financial advisors to help. We also indicate that we have been in contact with a number of interested parties. We are now exploring in greater detail the potential sale of Jaguar and Land Rover with selected parties who’ve expressed interest. While no decisions have been made at this time, we’ve concluded that it is probable that these operations will be sold. And therefore the appropriate accounting is to recognize previously deferred hedging gains. And because I know you’re interested, I’ll also be conducting the strategic review of Volvo. We expect to finish our study by year-end. The second slide, slide three, summarizes the results of our operations, which are significantly better than last year. Ford North America’s results were more than $500 million better than last year, although it posted a loss of $279 million. The rest of the automotive business units performed solidly in the quarter. Each was profitable and posted significant gains over 2006. Ford Credit continues to be profitable, although Ford Credit results were lower than last year, the business performed in line with our expectations. Now, if you turn to the next slide, we’ll cover some of the progress we have made in the second quarter. We continue to focus on the four priorities of our plan: restructuring the company, accelerating product development, funding our plan and working even more effectively as one team. We’re taking the necessary steps to implement our turnaround plan and remain committed to our goal of achieving profitability no later than (inaudible). Overall, our business improved significantly in the second quarter. We achieved $600 million in cost savings with about $400 million in North America, which, on a cumulative basis, has now achieved $2.3 billion of its $5 billion target by 2008. Contributing importantly to this is the progress we’ve made with the union on competitive offering agreements, but we still have a long way to go to achieve our goal of being fully competitive. We’ve reduced North America personnel by 6,400 during the quarter while continuing to improve productivity. We continued reducing North American capacity to meet demand with the idling of three facilities: Wixom, Norfolk and Windsor Casting. We also announced the idling of the Cleveland Casting plant in 2009. And we completed the sale of APCO and Aston Martin. Overall, we are on plan. And, as I previously mentioned, we’re in the process of exploring strategic options for Jaguar and Land Rover. In addition, we initiated the exchange for Ford securities in early July, as part of strategy to improve our balance sheet going forward. Turning to slide five. As we’ve been saying, to create a growing and profitable company, we need to produce high quality vehicles that our customers really want and value. During the second quarter we had some very credible third party endorsements that indicate we’re on the right track. We had five winners in J.D. Power’s Initial Quality Survey, the most for any manufacturer. The five winners represent four of the brands in our portfolio: Ford Mustang, Mercury Milan, Lincoln MKZ and Mark LT, and the Mazda MX-5 Miata. And the J.D. Power Automotive Performance, Execution and Layout, the APEAL Survey, which measures how well new owners like their vehicles, the recently launched Ford Edge not only won its segments, but was the highest ranked among all the new vehicles in the entire study. In addition, the Edge was the best selling midsize in the United States, and Lincoln sales have increased for nine straight months now. In South America, Ford sales were up 20% in the first half of 2007. In Europe, Ford sales were up 5% through the first half of the year. We have had a successful market launch and received strong medial acclaim for the all new Mondeo and the redesigned Ford C-Max. In addition, Land Rover sales were up 8% in the first half of 2007, a record for the period. Further, we are continuing our expansion in Eastern Europe. We announced our intention to increase the capacity of our St. Petersburg assembly plant from 72, 000 to 125,000 units by 2009. And we are pursuing vehicle manufacturing in Romania. In Asia, we continue to see growth in China, and we are on track to launch our new assembly plant in Nanjing later this year. We announced cessation of the engine production in Australia in 2010 and we plan to commence local production of the Ford Focus. In summary, when you look at our second quarter performance, there is no doubt we’re making progress, but we still have a long way to go. Now, I’d like to hand it over to Don, to take you through a more detailed review of our results. Don.
Don Leclair: Thanks, Alan. And on to slide seven, and this slide provides a few details of the profits that Alan just described. Starting at the bottom of the slide, for the second quarter our net income was $750 million. This included a $32 million in profit from discontinued operations, which reflected a gain on the sale of AAP Co. Our net income from continuing operations of $718 million included Texas and areas outside of the US where we are profitable, as well as a minority interest in profitable affiliates. Adjusting for these items we see a second quarter pre-tax profit of $926 million, from continuing operations. The results include favorable pre-tax special items of 443, which we’ll cover on the next slide. These special items, our results were pre-tax operating profit of $483 million, which we’ll spend most of our time on this morning. Slide eight covers our special items, which improve pre-tax profits by $443 million. This included a 55 million reduction in costs associated with separation programs in North America. This was more than explained by the decision of a net number of 1,100 hourly workers who withdrew their prior decision to accept a buy-out. In addition, there was a profit of $148 million that related to the separations. We also recorded a profit of $206 million related to the sale of Afton Martin. As Alan mentioned earlier, due to the probability of selling Jaguar and Land Rover we can no longer defer certain gains associated with hedging of foreign currency and commodity risks, so we recognize a $182 million of previously deferred gains. Additional charges to the second quarter were about $150 million in PAG, personnel reductions and other restructuring actions, including the closure of the Lanington Casting Plant. Slide nine breaks down our pre-tax profit of $483 million by sector, including 378 million for automotive and $105 million for financial services. Now, let’s turn to the automotive sector, and slide 10 explains a change in profits, concurred with last year. For the second quarter, automotive results were $1.1 billion better than a year ago. Compared to 2006 volume and mix was $100 million unfavorable, with unfavorable volume in North America, partly offset by mix improvements in North America and higher volumes in Europe and PAG. Net pricing was$ 900 million favorable, primarily reflecting favorable performance in North America, Europe, and PAG. Costs were about $600 million favorable, and we’ll cover that more on the next slide. In the continuing impact of the weakening of the U.S. dollar against foreign currencies, reduced profits by about $300 million. Slide 11 explains our cost performance, which was $1.1 billion in the first half, and about $600 million of this occurred during the second quarter. Warranty expense was about $700 million favorable in the first half. This primarily reflected favorable results in North America, largely related to reserve adjustments to the favorable trend in field service actions, in basic warranty coverage as well as non-recurrence of unfavorable 2006 adjustments to Jaguar and Land Rover warranty reserves. Manufacturing and engineering costs were about $500 million favorable, mainly reflecting our restructuring in North America. Net product costs were $1.3 billion higher, largely reflecting increased costs related to diesel engine emission requirements, higher commodity costs, and added product features. Spending related costs improved by $300 million in health care expenses were $800 million lower, primarily reflecting last year’s retiree health care agreement with the UAW as well as ongoing improvements related to curtailments and higher pension plan asset returns, and advertising and sales promotion expense was up $109 million. Slide 12 shows automotive pre-tax results for each of our operations and other automotive, which consists of net interest and financing related costs. Before the interest and financing related costs, our automotive operations made profits of $485 million during the quarter, an improvement of $1.1 billion, with all operations improving sharply. We’ll focus here on other automotive, and then cover the operations in detail. In the second quarter other automotive was a loss of $107 million, and that’s $22 million worse than a year ago. That’s more than explained by higher interest expense for last year’s financing. This is partly offset by higher interest income. We may have some volatility in this area, we expect a near term trend of other automotive cost to be a loss of about $200 million per quarter. This improvement compared with our previous guides reflects higher cash balances in anticipated lower interest expense related to the exchange of trust-preferred securities. Now on to slide 13, we’ll start going through the operations, first with North America. Wholesales were down 100,000 units in the second quarter, to 807,000. This decline reflects lower market share, lower dealer inventories, and lower industry volumes. We’ll discuss market share later. At the end of June 30, U.S. dealer inventories were down 30%, 239,000 units from a year ago, resulting in a June 30 dealer stock of 62 day supply. Revenue for the second quarter was $18.8 billion, and that’s down $300 million, due to lower volumes offset partly by favorable mix and net pricing. A loss of $279 million this quarter was $510 million better than a year ago, and we will cover that on the next slide. Slide 14 provides the explanation of that improvement. Volume and mix was $300 million unfavorable, reflecting lower unit volume, partly offset by favorable mix. Net pricing improved by $600 million, primarily reflecting pricing for new equipment being added to our vehicles, lower daily rental mix and lower incentives. In addition, cost reductions were $400 million favorable, mainly lower manufacturing and pension and OPEB costs, partly offset by higher net product costs. The increase in product cost included higher regulatory and commodity costs and added product features that were recovered by higher pricing. The exchange was about $100 million unfavorable, primarily reflecting the weakening of the U.S. dollar. Slide 15 shows U.S market share for Ford Lincoln Mercury. For the second was 15.6% including 5.4% for fleet and 10.2% for retail. As previously indicated, in line with our plan, we continue to reduce our sales to daily rental companies, and therefore, our fleet share will continue to decline. Our retail share was 10.2% for the second quarter, up a little from the first quarter. In the second quarter for example, the Ford Edge was the number one selling midsize crossover, and the Lincoln MKX was among the leaders in the premium crossover segment. This reduction from last year primarily reflects lower full size pickup truck sales. And this reflects in part the weak housing market, higher gas prices, and a competitive environment. Overall, we believe we’re making progress in stabilizing our retail market share. Slide 16 tracks our progress in achieving our employment reduction goals. We changed our reporting for salary positions to show full-time Ford employees only. In this, is included agency and purchase services. And we made this change because full-time employees are a lot easier to track on a quarterly basis and it gives a very similar result and very similar percentage reduction. And as of the second quarter, we’ve reduced our salary positions to 24,200. That’s a reduction of about 10,300 since the end of 2005 and very close now to our target. Our June 30 hourly employment, excluding ACH was 64,900, a reduction of 20,700 from year-end 2005, including 4,300 in the second quarter. And at ACH there was 7,500 hourly employees at the end of the second quarter, a reduction of 6,400 since year-end 2005. And the vast majority of these employees will be redeployed or separated by the end of next June. Overall, we were on plan in these areas. Slide 17 shows our capacity plans for our assembly plants in North America. In year-end 2005 we reduced our max installed capacity by one million units, from 4.8 million to 3.8 million, and our straight time man capacity to 3 million units. In the second quarter we idled Wixom and Norfolk, eliminated shifts at St. Thomas and Michigan Truck and added a third crew at Dearborn Truck. By the end of 2008, our max installed capacity should be 3.6 million, with all plants assumed to operate on two shifts. And our straight time man capacity by year-end 2008 is planned to be 3 million units. Reducing our man capacity in this manner allows us to achieve major cost savings, while allowing plant idling to be coordinated with product changes, which is the best economic approach. And overall, our capacity actions remain on plan. Slide 18 covers our progress on cost reductions. Our defined goal is $5 billion in annual operating cost reductions by year-end 2008 compared with 2005. And during the second quarter we achieved about a $400 million reduction since 2005 to $2.3 billion. We don’t expect to see the same level of improvement in the second half, in part because of increasing regulatory compliance and commodity costs. But we remain committed to achieving our plan by the end of 2008. And as we’ve said previously, we will not be stopping our cost reductions after 2008. We’ll continue to reduce costs beyond then, although the makeup of the reduction will likely change over time, with more cost reductions coming from our purchase material costs as opposed to our own internal costs. And this shift will be the result of our efforts in product development to leverage the global scale of Ford. Now, onto South American on slide 19; second quarter sales were 110,000 units, up 21,000 from a year ago. And, despite the unit volume, our market share declined by a couple of tenths because the strong industry demand outstripped our ability to keep up. Revenue was $1.8 billion, $500 million higher than a year ago, reflecting favorable pricing in a stronger Brazilian currency. South America posted a profit of $255 million in the second quarter, an increase of $156 million from the year ago, primary reflecting favorable net pricing in higher volume. Slide 20 covers Ford Europe. In the second quarter, wholesales were 509,000, up 43,000 from a year ago, and that primarily reflects a non-repeat of dealer inventory reductions in 2006 as well as higher sales in Russia. Second quarter market share was 8.3% in 19 markets we tracked, about equal to last year. Revenue was $9.2 billion, $1.7 billion higher than a year ago, primarily reflecting favorable volume in net, encouraging exchange. Second quarter profits were $262 million, an improvement of $77 million compared with a year ago, and that's more than explained by favorable net pricing and higher volume, and partly by higher manufacturing costs, primarily to support the increased volumes. Now, slide 21 covers PAG where our results improved for all grades. Second quarter wholesales were 203,000 units, up 8,000 from a year ago, primarily reflecting higher sales at Land Rover and Volvo. Partly offset by a reduction in Jaguar. U.S. market share was 1% equal to a year ago in Europe, market share was 2.2% up at 10 from last year, primarily at Land Rover, reflecting sales to the new Freelander LR2. Revenue was $8.4 billion, up more than $600 million from a year ago, primarily driven by favorable exchange, volume and net pricing with Mex being a partial offset. Second quarter pretexts profits were $140 million, an approving of $302 million from 2006. That's more than explained by favorable cost performance across all brands, and net including the favorable adjustments to our warranty reserves in 2006. Favorable net pricing was more than offset by the effect of continued weakening of the U.S. dollar with its European currencies. Slide 22 covers Asia Pacific, Africa, and Mazda. The Mazda continues to perform well. We earned $81 million from our investment in Mazda, up $49 million from a year ago. Now, in slide 23, Asia Pacific - what were wholesale volumes increased by 2000 units compared with 2006, and the volume increased primarily but increases in China, partly offset by decline being Australia and Taiwan. Revenue is $1.7 billion down $100 million, more than explained by the reduction volumes outside of China. Asia Pacific and Africa recorded a profit of $26 million in the second quarter, $22 million better than a year ago. That reflected strong cost performance, including in Australian and Taiwan and improved results in China. Lowered volume and adverse mix, more than explained by Australia and Taiwan in unfavorable exchange, were partial offsets. Response to growing customer demand for smaller vehicles in Australia, Allan mentioned, Ford will cease local car engine production in 2010, and we plan to commence local production of the Focus in 2011. Slide 24 shows automotive cash and cash flow. We leave the second quarter with cash of $37.4 billion, that's an increase of $2.2 billion compared with March 31 and an increase of $3.5 billion compared with December 31, 2006. Our operating cash flow was $1.8 billion positive in the quarter. That included pre-tax profits of $400 million, variable net spending of $500 million, an expense and payment timing differences amounting (inaudible) billion. Net typical we accrue significant expenses in the second quarter, mainly for marketing incentives for which the cash payments are made later in the year, mainly in the third quarter. In pension and opened timing and expense versus cash differences also included in this area. Separation programs resulted in an outflow of $400 million for the quarter. It contributed $400 million to our pension plan in the impact of our Viva strategy, resulted in a net $400 million inflow. Finally, the Aston Marton and APCO sales in the second quarter resulted in net proceeds of about $900 million. Now the positive cash flow in the second half is somewhat better than planned, primarily in profits, capital spending, and separation programs. We expect however that the second half cash flow will be substantially negative because of seasonally lower volumes, higher capital spending, and seasonal effects on timing differences. As a result, the cash flow of this year, should be the cash outflow this year as previously expected, although still negative. Also, we project that the 2007 to 2009 cash outflow for operating losses and restructuring will be slightly less than the $17 billion we had previously projected. You should note that the third quarter is our toughest for profits and cash flow, and we expect a large cash outflow for this period, as we have had for the last couple of third quarters. Now on to slide 25; as Alan mentioned, one of our four priorities is funding our plan. We completed the funding last year, as you know, and now our priority is to begin to strengthen our balance sheet, and earlier this month we initiated an exchange offer for our trust preferred securities. This offer, which ends on July 31, provides holders the opportunity to exchange the trust-preferred securities into common stock and realize a premium. The impact will be to reduce debt and its associated interest, while increasing book equity. While this offer will have a favorable impact on our balance sheets there is a one-time charge, equal to the premium paid on securities exchange. Assuming that about half of the securities are exchanged, that charge will be about $700 million. We also are taking another action to strengthen our balance sheet and reduce risk, and that involves changing our investment strategy for our U.S. pension plan. Previously, we had target asset allocation at 70% equity and 30% fixed income. To reduce risk, we have decided to reduce our equity investments, and increase our allocations for fixed income and our new targets for the end of this year are 45% fixed income, and 55% for equity and other investments. In both of these actions are consistent with our strategies to improve our balance sheets. Now, we will turn to financial services on slide 26. Earnings were $105 million in the second quarter, $329 lower than last year. Now, on slide 27 it explains the changes for credits, profits for the second quarter were $112 million, $323 million lower than a year ago, and the decrease in earnings, primarily reflected higher borrowing costs, lower credit loss reserve reductions, higher depreciation expense release vehicles, and higher net losses related to market valuation adjustments from derivatives. Lower expenses, primarily, improved operating costs, were partially offset. Overall, excluding the impact of gains and losses related to market valuation adjustments from derivatives, we expect Ford credit to earn, on a pre tax basis, about $1.3 to $1.4 billion this year. This is up from our previous estimate of $1.2 billion and that improvement reflects higher average receivables for the year, lower operating costs, and continued good performance in credit losses compared with our prior estimates. And, we are working to resume the use of designated hedge accounting for derivatives at ford credit, and that will reduce our ongoing earnings. Now, slide 28 shows where we are on our planning assumptions and operational missions. Total industry sales during the first half were equal to a SAAR of 16.7 billion units in the U.S., and 17.9 in the 19 markets we track in Europe, and that is generally consistent with our full year assumptions. On the Operational Metrics, as Allen mentioned, during the second quarter, we placed first in five segments in JD Powers IQS survey and that is more than any other auto maker. Market share was down in the US, but up in Europe. Capacity constraints however, have limited our share in South America and China. Automotive costs were reduced by $1.1 billion during the first half, consistent with our plan. Operating related cash flow was $2.9 billion positive, and as mentioned earlier, we still expect the four-year cash flow to be negative but improve the term of our previous expectation. Capital expenditures were $2.6 billion and full year's expenditures should be equal to or less than $6.5 billion, and that’s with no changes of consequence to our product plan. Now, we will go through our production plans for the third quarter. This quarter's usually the lowest of the year, reflecting vacation shut downs at most of our plants. Most American production schedule is 640,000 units, that is 2,000 units lower than a year ago, equal to the level we advised on June 1. This reflects a continuation of our efforts, it means keep maintain dealer inventories at appropriate levels. Ford Europe, we expect third quarter production of 410,000 units, that's down 14,000 from last year. In for PAG, we're planning on third quarter production of 168,000 units, that's up 32,000 from 2006 and that increase reflects higher production volume, mainly with the new V70 and XV70, as well as increases at Land Rover for the new Freelander LR2. Slide 30 shows perform in 2007 versus our plan. As you can see in the far right column, we're ahead of or equal to our plan in all areas. The improvement in the outlook for our automotive operations reflects our first half results. Looking forward at the second half, our main concern about the housing market and its affect on the construction industry with pickup truck sales, as well as commodity prices in the weakness of the US dollar, mainly as it affects our operations outside the US. We now expect the automotive improvements year over year will offset the decline in commutable services profits. As a result, pre-tax profits excluding special items, should be better than last year. And, this is an improvement from our prior guidance. Overall, we're performing better than our expectation this year, though the third and the fourth quarters will be difficult ones, we expect to continue to improve our results from a year ago, in line with our plan to turn our profitability in 2009. Now I'll turn it back to Allan.
Alan Mulally: Very good. Thank you, Don. I'll turn to slide 31 and turn to the forward looking outlook and share with you our assessment and where we stand on achieving our key business and financial goals over the next few years. We remain committed to our plan, and as Don said, the improvements we are seeing this year will help us meet our 2009 profitability targets. We are on track to meet our North American cost reduction target of about $5 billion by 2008. And we're also making price people want and value and that they are performing well in the marketplace, and we are making progress towards stabilizing our retail market share. In the improvements we've seen our cash flow this year should allow us to use less than the $17 billion we previously projected, defend operating losses and the restructuring of our business during the 2007-2009 timeframe. Slide 32, in summary, as you have seen, our second quarter results are very encouraging. They indicate that our plan is taking hold and producing results, but we have a long way to go. Then let me leave you with a few words of progress. We expect our automotive operations to show continuing improvement to 2006 levels. We're addressing our capacity issues. We are deploying our capital wisely and we're working as a global team to meet our goals. We completed the financing part of our plan and we are moving forward to strengthen the balance sheet and reduce our risk profile. We have a solid leadership team in place that is working even better together to deliver bottom line results. These accomplishments are something to be proud of but we are not ready to claim victory. We will incur substantial losses in both the third and the fourth quarters, primarily in North America, but continuing to make progress. The entire team is encouraged by the progress we have seen. We recognize the challenges ahead and we remain absolutely committed and focused in achieving our plan of continuously improving our competitiveness and our business performance. With that, Donna, I would be please to take your questions.
Operator: Thank you, Allan. Ladies and gentlemen, we are going to start the Q&A session now. We have about an hour for Q&A's. We will begin with questions from the investment community, and then take questions from (inaudible) also on the call. In order to allow as many questions as possible within our timeframe, I ask that you to keep your questions brief. With that, Bill, may we please have the first question?
Operator: Thank you very much, ma'am. Your first question comes from the line of Jonathan Steinmetz of Morgan Stanley. Please proceed.
Jonathan Steinmetz - Morgan Stanley: Great, thanks. Good morning, everyone. A few questions. First, you talked about the net product costs versus the pricing. Don, you've mentioned the impact of the diesel engines. Are you more than recouping that particular increase in terms of pricing or is there still some margin degradation out of that.
Don Leclair: Well, I'd answer the question this way that our total product ads including their regulatory for the diesel, is about offset by pricing. Without going into any details about one aspect or another, in total, we're recovering it, with some ups and some downs.
Jonathan Steinmetz - Morgan Stanley: Ok. You took your cap banks for the year, at a time when, for example, GM is increasing theirs, can (inaudible) cause that, and do you think that’s something sustainable as we move out into ‘08 or ‘09 this type of a level.
 Don Leclair: Well, I think Alan mentioned, and we have been talking about trying to work more together and leverage our global assets, and we said that we would be at or around 7 billion the next couple of years, that’s the level we have been running at, we’ve actually been running a little bit bellow it, as we’ve trying to make efficiencies. Our plants, we are in fact in the process of closing plants, so we are, we have not changed our product plans at all, and we are doing a little better in the non product spending, and being more efficient in delivering products for less investment. So I wouldn’t be concerned about it, except that we are doing better at delivering the same for less, which is has been our goal.
Jonathan Steinmetz - Morgan Stanley: Okay, lastly on the cost reduction side, you talked about ’08, ’09 and beyond (inaudible) costs and product development type of stuff flowing through, it seems like there is a little bridge between now and then. If you think about the next two or three quarters, where do you think you can see the most incremental cost reduction?
 Don Leclair: I think we are going to see most of the cost reductions on our own internal costs as we continue to restructure our operations particularly in North America, and that manufacturing is product engineering and general staff and overhead areas. Now on the material costs, or product cost side, we are seeing a lot of cost increases on commodities, and we are adding content to make our vehicles even more desirable in the market place, and we are realizing the pricing on that as you can see from our results.
Jonathan Steinmetz - Morgan Stanley: Ok, I will stop there and get back in the queue, thanks.
 Operator: Thank you very much sir. (Operator Instructions). Our next question comes from the line of Chris Ceraso of Credit Suisse. Please proceed sir.
 Chris Ceraso, Credit Suisse : Thanks, good morning
 Don Leclair: Good morning.
 Chris Ceraso - Credit Suisse : Can you give more of a breakdown on how much of the $600 million in increased product costs you would assign to materials versus how much is some of these regulatory component adds and then how much for some of the other features. I think last quarter you highlighted it was upwards of $5 or $600 million just on the material side, is that about right and is it still tracking at that level?
 Don Leclair: Yea, That is about right. It is still right about $500 million, so almost all of it was raw materials, then within that we had product cost increases, as well as design costs and supplier initiated cost reductions
 Chris Ceraso - Credit Suisse : OK, and then on the other side of the favorable $600 that you said was from pricing, how much of that is tied to lower incentives versus how much from mix, with mix in the other category, so for example, launch of the Super Duty carries a higher price, did that show up under price and if so, how much of $600 was related to that?
 Don Leclair: I assume that you are talking about North America now?
 Chris Ceraso - Credit Suisse : Yes, exactly.
 Don Leclair: Yes, about a third of it is pricing, and about a third of it is lowered incentives, and the rest is improved business mix and the effect of improvements in Canada and Mexico.
 Chris Ceraso - Credit Suisse : Ok, I noticed in the finance company it looks like losses is a percent of receivables picked up versus a year ago, but it still looks like the previsions are coming down, can you give us an idea as to why those trends are still going that way?
 Don Leclair: Well, we are very pleased with how our portfolio is performing right now, and we have our credit loss previsions at the right level, our reserves are good, and its flat, I don’t think its gonna get any better than this. But it is really performing well, and it is a credit to the team, what they have done over the last couple of years to improve our internal performance
 Chris Ceraso - Credit Suisse : And, you are not seeing anything other than some downs in the actual credit loss performance?
 Don Leclair: No.
 Chris Ceraso - Credit Suisse : Okay.
 Don Leclair: We are very happy with how our portfolio is performing.
 Chris Ceraso - Credit Suisse : And then just last real quick, another question about the North America year-to-year walk. Of the pension OPEK 400, how much was for each?
 Don Leclair: Let me get back to you on that.
 Chris Ceraso - Credit Suisse : Ok, thank you very much.
 Don Leclair: UAW healthcare piece was at about $160 million and so then there’s some pension asset return that, and some pension, some moped are counted in there as well. I’ll try to get that and include it in an answer later on in the call.
 Chris Ceraso - Credit Suisse : Ok, thanks Don.
Operator: Thank you very much sir. Ladies and gentlemen your next question comes from the line of Rod Lache from Deutsche Bank. Please proceed.
 Rod Lache - Deutsche Bank: Good morning everyone. Could you just take a step back and talk about the operating environment. Do you think that would support a more favorable pricing environment that’s sustainable? Is there an improving supply/demand dynamic occurring? Or is this just something that you would expect to be kind of volatile going forward?
Don Leclair: It’s hard to say, I think that what we’re seeing now is a strong acceptance of our product and that’s fundamentally what drives the pricing. There were always in the environment that we’re in and right now we have seen a lot of raw material cost increases. Everybody is seeing those and we’ll just have to see how it goes, going forward. They key for us is having good products that people value and want to buy.
 Rod Lache - Deutsche Bank: Ok, and can we talk about the new cash burn projection for this year how much of that would you say is from operations and how much?
Don Leclair: I’d say it’s mostly from the operating side.
 Rod Lache - Deutsche Bank: Do you have an estimate from the restructuring part of it?
Don Leclair: It’s going to be a little bit lower than what we anticipated before on that and we’ll be a little better on the operating side. So the seventeen, maybe it will be 15 or 16, something like that and I’d say about a third of the improvement will be from restructuring but with the balance or most of it from operating results.
 Rod Lache - Deutsche Bank: OK, and then my last question is just generally if you can about, I know you don’t want to get into details of negotiations, but obviously there’s still a lot of talk about restructuring legacy obligations, that kind of thing. Aside from proceeds from asset sales, could you just talk a little bit about your strategy on funding? You’re obviously making moves to improve your balance sheet. Would you think about using equity as a means of funding any kinds of restructuring initiative in that regard?
Don Leclair: Well, let me talk just a little bit about that and then I’ll turn it over to Alan to talk about the bigger issue, which is how we’re doing with the union. But our plans are to put ourselves in a position to improve our balance sheet and to improve our operating results if we do things right, both of those get improved in tandem. We’re not really going to go in to details about how we might or might not do something. The important thing is that we’re striving to be competitive.
Allan Mulally: I would just add to that it starts with our competitiveness and I’m very encouraged by not only the dialogue now associated with this contract under negotiation, but also the work that we have done with the UAW on our cooperative operating agreements over the last few years that has significantly improved our competitiveness and soothe most important thing is that we deal with all the elements of competitiveness and as Don pointed out with what we’ve done on the financing so far and the timing of it, we’re in a real good position now going forward to be able to fund the restructuring and new product development and continuing to improve our competitiveness.
 Rod Lache - Deutsche Bank: Ok, but you’re not willing to talk a little bit about the future funding mechanism for that, would you use equity if that were an opportunity or would you be looking to reduce cash or re-lever the balance sheet?
Allan Mulally: That’s clearly an option for us that we have under consideration.
 Rod Lache - Deutsche Bank: Ok, thank you.
Allan Mulally: You bet.
Operator: Thank you very much sir. Ladies and gentlemen, your next question comes from the line of John Murphy of Merrill Lynch. Please proceed.
 John Murphy - Merrill Lynch : Good morning. On net pricing, it seems that it was a pretty big positive in the quarter and I hate to ask this question again, but when we looked for financial services, the depreciation on leases or the expense went up which would indicate that there is lower residual value being priced into your used vehicles. It seems like there is a disconnect on what’s going on with new vehicle pricing on net pricing and what’s going on with your (inaudible). It just seems like the net pricing is going to be tough to keep as a positive going forward. I just wonder if you can comment on the connection between the two of those.
Don Leclair: Yes, I don’t think there’s any great connection between the two of those, John. What we’re seeing is residual values and overall, they’re improving a little. What we’re seeing here is it may be not as much as we’d thought, and that change is mainly in the pickup trucks and the large SUVs, which is no surprise, I think. So what we’re seeing is a lower auction price than we planned for vehicles that were coming off fleets from 2,3,4 years ago, and that’s fairly with the second quarter net pricing, which reflected a good mix getting out of the daily rental stuff, that will help our residual values in those vehicles going forward. I wouldn’t really connect those.
Allan Mulally: I might add, John, too, that our plan was to significantly reduce the rentals and we’re essentially in that plan now and by October we’ll have achieved our 30% reduction in the rental share over 2006. So I think we’re getting a little bit of help by being a little bit ahead of plan.
 John Murphy - Merrill Lynch : So, it sounds like the pricing in the used vehicle market is still lagging your efforts and ultimately the residuals should be improving there? Because I mean, there is some connection here in the residuals and the used versus the new pricing.
Don Leclair: Well, there is, except that I think, as I was saying, most of the change in the residual values that you see in the credit card company side is in the large pickup trucks and the large SUVs, and those are not the ones generally in our fleet. So, we will see an improvement in residual values. We’re starting to see that now, that’s mainly in the passenger car side, and in the smaller SUVs, and we expect to see more going forward. At the same time, we would expect to see maybe some improved pricing, even in the daily rental side of things.
 John Murphy - Merrill Lynch : Ok, second question on the level of integration with Volvo. I mean, it sounds like Ford of Europe has actually moved pretty far along on integrating platforms with Volvo, particularly the S60 and S80. I mean, would that be concern going forward, or how do you think about then when you’re going through this strategic review?
Don Leclair: The way we’re thinking about it is that we have so many relationships with so many other partners and suppliers, that as we complete our strategic review, that I would anticipate that we would have a continuing relationship with whomever we agree to participate with going forward. It wouldn’t be a problem because we’ve been able to, especially with our relationships to date. But clearly that would be an important part of the plan.
 John Murphy - Merrill Lynch : Ok and just one last one on the pension and OPEB. Are you guys re-measuring that every quarter to adjust your expenses, because typically wasn’t that done on an annual basis?
Don Leclair: We’re doing it certainly more often now, and you’re right, it used to be once a year. And now with the major changes in employment, we’re doing it more frequently. And on that point, we had a question earlier about $400 million improvement in pension and OPEB, and the UAW class, it mentions about $160, so let’s say $200 million on a rounded basis. The pension asset returns improved, that’s about $100 million, and the ongoing impact of pension curtailment, that’s about $100 million.
 John Murphy - Merrill Lynch : So, those benefits or changes are rolling into the income statement faster than they would have traditionally?
Don Leclair: At this point, yes.
 John Murphy - Merrill Lynch : Ok, thank you very much.
Operator: Ladies and gentlemen, your next question comes from the line of Himanshu Patel of J.P. Morgan. Please proceed.
Himanshu Patel - JP Morgan: Hi, two questions. First, when you look at the sequential North American profit, I know you went from a loss of about 600 to slightly under 300, is there any way, Don, to give a little bit more color on what happened there. Particularly, you know, I’m thinking, how much was the better availability of the price of the super duty. How much of that was the really the main driver there, sequentially?
Don Leclair: Well, we can. I think the main driver of the improvement was volume.
Himanshu Patel - JP Morgan: Ok, and actually that brings up another good point. I think your Q2 production that you reported of 811,000 units, isn’t that higher than what you originally had planned by about 40,000 units or so?
Don Leclair: We are checking here. That doesn’t sound right, that we’d be that far off, but let us get back to you on that later in the call.
Himanshu Patel - JP Morgan: Two other questions. If you exclude PAG, it looks like the international profits are about 90% higher than I think where they were Q2 a year ago. Any color on the sustainability of the margins that you’re seeing in some of these regions, particularly Latin America seems like it’s doing double digit margins now.
Don Leclair: Well, certainly we’re doing very well in South America. We’re capacity constrained and our product acceptance is really high, and the exchange rates. Almost everything is going in our favor there right now. In Asia Pacific, we’re in the midst of some restructuring, and the guys have really gotten on top of the costs there now. And so we’re doing better there. I would expect to improve in Asia Pacific. And Ford of Europe is just now entering a period where we’re going to be reaping the benefits of the larger car investments we made. We’ve got some new smaller cars coming in the next couple of years, so I think we’ll be seeing upside on the operating margins of Ford of Europe as well.
Himanshu Patel - JP Morgan: Ok, and then maybe a question for Alan. The decision to put Volvo under strategic review, how much of that would you say was driven by desire to strengthen liquidity versus a desire to streamline the portfolio and eliminate, let’s say distractions from the North American turnaround?
Alan Mulally: Sure, I think I’d characterize it as considering those factors and even more, because clearly the real opportunity going forward is to integrate and leverage our Ford assets around the world, and we’ve made significant investment, as you know, in all the PAG brands. They’re on real positive, profitable growth plans, and it just was clear to us that this was a good time to review our portfolio and decide the best things for all of our brands going forward. And of course as you pointed out, it’s also very important for us, as we’re leveraging the company, to work on improving the balance sheet going forward. So it’s all related, but it’s really driven by what is the best thing we can do for long term value creation, starting with the Ford brand, and integrating that. And doing the best thing for everybody associated with the other brands.
Himanshu Patel - JP Morgan: Ok, and then maybe one last question for Don. Can you give us how much collateral is pledged behind the PAG assets?
Don Leclair: No, we’re not going to go in and say how much there is, just that, you’ve mentioned proceeds from the sale of Volvo and liquidity, I’d ask you to think about it more in the sense of proceeds from the potential sale of Volvo and strengthening the balance sheet. I don’t want to go into the exact collateral, but I will go back and answer your question about the production. In April, we defined, we indicated Q2 production would be 810, it came in at 811, but our prior guidance had been 770, so you’re right, it was up 40,00. What we indicated at the time was that we were a little short of inventory on a few selected vehicles and we were pulling production ahead from the third quarter to the second quarter, so that didn’t really affect our overall sales outlook for the year, just our desire to make sure that we had sufficient inventory for a few select vehicles for the summertime.
Operator: Thank you sir. Ladies and gentlemen, your next question comes from the line of Rob Hinchliffe of UBS. Please proceed.
Rob Hinchliffe - UBS: Thanks, good morning. Don, you said year to date so far things that have gone a little better than planned, you said one of them obviously was profitability. Is there a particular area so far that you’re running a bit better than you would have expected six months ago? Is it pricing, or something that you could call out?
Don Leclair: Well, I think there are a couple of them. In the order of where they’re greatest is PAG, South America, Ford of Europe and Asia Pacific. So they’re all doing a little better than we planned. Things are also going well in the credit company and because of that our cash balances are higher, so our interest income is higher, so our net interest is lower. And then we're also doing better in North America. Now, within North America, we're doing a relatively better outside of the US than within the US, but doing better even within the US and that would mainly be on the cost side, we're a little bit ahead of schedule, getting some of the people out, in part because of competitive operating agreements and getting the plants on schedule or a little ahead. And then on the pricing side: we're doing a little better than we'd thought on pricing. The mix has been stronger, the mix on the edge has been higher on the high series, so just, a whole range of things have been favorable for us.
Rob Hinchliffe - UBS: Pretty much across the board, I guess.
Don Leclair: Yep. And I can really summarize it as productivity and our quality.
Rob Hinchliffe - UBS: On the productivity and with these comparative operating units, is there a way to put a dollar figure on how much they're contributing to the cost savings so far?
Don Leclair: We have quartered the figure before, that when fully implemented in the competitive operating agreements have largely been agreed and they're being implemented now, but they're not fully implemented. I'd say it's somewhere in the $500 million range on an annualized basis when they're fully implemented, which they aren't quite yet.
Rob Hinchliffe - UBS: And, on the pricing side, things certainly look like they're getting more competitive, heating up a bit, but what are your thoughts there? How sustainable going forward is Ford's ability to maintain pricing? And then obviously a large role quarter to quarter. What are the assumptions right now for the back half of the year, or I should say, for the third quarter, I guess?
Don Leclair: Well starting on the net pricing side, on the revenue side, we're very encouraged with the response we're getting from them, but especially on the Focus, the Fusion, the new Taurus, and then the crossovers—the Escape and the Hybrid in the edge, and the continuing strength of the larger SUVs, and with the content and the continued fuel economy improvement, I think going forward, our fundamental assumption is that we will competing, we are recognized for those improvements.
Rob Hinchliffe - UBS: Do you want to mention stuff about the residuals?
Don Leclair: Yeah, I was going to say that. I think going forward, we usually see the prices in a sense lowest at the end of the model year, so we'll be selling down the old models and filling up with the other ships with the '08 model. So that's an important factor on the pricing side. Then just referring to slide 29, sequentially from second quarter to third quarter, our volumes are down significantly as you would expect because we went from 811 in North America to 640. 512 to 410 in Europe, and 193-168—that's a large reduction in volume and that's really what we're referring to earlier when we said there was a big causal factor for the sequential improvement from first to second, similarly second to third is going to be down.
Allan Mulally: That's why the profits will be tough in the third quarter and why the cash flow will be that plus the timing difference I mentioned on the marketing.
Operator: Thank you very much, sir. Ladies and gentlemen, your next question comes from the line of Peter Nesvold of Bear Stearns. Please proceed.
Brian Brinkman - Bear Stearns: Hi, Brian Brinkman, for Peter Nesvold. Keeping that public finances is unavailable for Allison and Chrysler Auto, how confident are you that financing is available for a Jaguar or Land Rover sale? Does it appear there's likely to be committed financing in place?
Allan Mulally: Well that's hard to say. Clearly the market's a little tougher than just a month or so ago, but, we're still in the early days of going through that. Those are terrific brands, and we expect to be able to—it's probable that we'll be able to complete the sale. That's why we took the decision that we did, and we really can't speculate on what the markets will be and we completed our financing and we did a fair amount of unsecured financing for credit earlier this year so we don’t really have any direct financing needs right now.
Brian Brinkman - Bear Stearns: Ok, I appreciate that. Also, on Slide 11, you said that improved warranty expense was $1,100 dollars of the 1.1 billion year over year improvement. That’s a discretionary item. Is the improvement sustainable, would you say, at these levels?
Don Leclair: Well, that is not a discretionary item, we have a pretty strict and rigorous accounting process that reflects what we actually are paying to our dealers for warranty expenses as we reimburse them for customer claims, and we do that on a conservative basis and in arrears of the actual experience, so it’s not discretionary. Now there are some items that are non-repeatable because they reflect reserve changes, but the ongoing trend in the quality, they are favorable, it is improving, we expect to see improvements going forward; perhaps not at that level.
Brian Brinkman - Bear Stearns: Ok, thank you very much.
Operator: Thank you very much, Sir. Ladies and Gentlemen your next question comes from the line of Robert Barry, of Goldman Sachs. Please proceed.
Robert Barry - Goldman Sachs: Hi Guys, Good morning.
Unidentified Company Representative: Good morning.
Robert Barry - Goldman Sachs: I also had a question in the context of this meltdown we’re seeing in the high yield market. Assuming that continues and you’re able to negotiate some sort of settlement with the union, on [OPEB], are you comfortable funding that out of equity?
Unidentified Company Representative: We’re comfortable that we have a plan to make the Ford Motor Company competitive. It involves a lot of moving parts, as Alan was saying earlier about the union discussions. We’re comfortable that we have a plan. Our goal is to make the company competitive. We really don’t want to go into any details.
Robert Barry - Goldman Sachs: Ok. How about your outlook on the luxury market, and what is your strategy going after the luxury market, if all the PAG brands are gone.
Allan Mulally: Well we’ll clearly have our Ford Lincoln Mercury line up, and we know things we’ve been thinking about as we review our portfolio is going forward in respect to the entire product line. I think it’s interesting to note that most of the automobile manufactures are really focusing on different elements of this segment and that’s an important part of our consideration, going forward.
Robert Barry - Goldman Sachs: Like take it, wouldn’t it involve, just a lot of additional investment in Lincoln?
Unidentified Company Representative: Well, I think it’s too early to say that. We have continued to invest in the Lincoln Mercury lineup. We have a very strong lineup today as recognized by the quality and productivity and the safety and recognition, so we’re not disadvantaged at the present time; I think the real question is how do we build on that success going forward.
Robert Barry - Goldman Sachs: Ok, and then finally, just a housekeeping item. Can you tell me what the gross automotive debt was at the end of 2Q?
Unidentified Company Representative: Approximately $30 billion.
Robert Barry - Goldman Sachs: Ok, thank you.
Unidentified Company Representative: You bet.
Operator: Thank you very much, and the next question comes from the line of Ronald Tadross, Bank of America Securities, please proceed.
Ronald Tadross - Bank of America Securities: Good morning, everyone. Just two quick questions here. First on Slide 14, you mentioned that the mix had offset some of the negative volume effect. So, maybe if we just assume, I don’t know, you can correct me if I’m wrong, but maybe the mix is in the plus 100-$200 million range. Where is that coming from and what is the outlook on mix?
Unidentified Company Representative: Well, the mix is actually a little more than that, wherein that the volume is a larger reduction and the mix is more favorable than you were quoting and the outlook for the mix is, right now it looks good. We had been going through the last couple of quarters a period where we were getting back into the car business as it were, and we had the Fusion and [Milan] the Zepher, and our unit revenues in North America were going down(inaudible) and now we’re getting back and improving our per unit revenues.
Ronald Tadross - Bank of America Securities: Don, is it over $300 million?
Don Leclair: It’s about $400 million.
Ronald Tadross - Bank of America Securities: And is it coming from daily rent at all, or is it all just product megs, like retail product megs?
Don Leclair: It’s a whole series of things including, importantly, the discontinuation of Taurus and the FreeStar which were heavy into the daily rental, higher volumes the F series, particularly the new super duty, the Edge, both the newness of the product and the lower discount, as well as the high mix, high series mix there, and several other factors.
Ronald Tadross - Bank of America Securities: OK, so are we at all concerned about gas prices here on mix. Could that put a damper on this going forward.
Don Leclair: Well, we are concerned about fuel prices, and we have seen a decline in F-series sales volume decline, which at least in part reflects higher gas prices, and lower housing in the construction sector, and the fact that emission laws changed at the end of last year, so we think some truck sales were pulled ahead into last year. But the mix of what we’re selling is richer.
Ronald Tadross - Bank of America Securities: Ok, and then just one thing on cash flow. I know you said the restructuring spend will be a bit lower, but if we just stick to your original numbers for a second, I think you guys said about 5 billion in 2007 and 2 billion in 2008 will be spent on mostly reducing heads. It looks like you only spent 1.6 billion so far, maybe just see if those numbers are accurate, but also, where does this bell curve come here in the spending on restructuring.
Alan Mulally: Well, I think we said we’d have about four, not five, so it was about four this year. We’re going to be a little less than that. And that’s a combination of things, the mix of people that are leaving on the hourly side is different in terms of which packages they’re going out on. And again on the salary side a lot of the people, a higher proportion of them went out on retirement packages than we’d initially estimated, and those people went out and then a lot of debt cost that’s actually funded through the pension plans. So there’s a couple of reasons why it will be lower, but the important thing is that the people that we said are going to go, and the numbers in the plant closings, we’re on or ahead of schedule, it’s just costing us a little less to effect that.
Operator: Thank you very much sir. Ladies and gentlemen, we will now start taking questions from members of the media on the call. Our first comes from the line of Mickey Maynard of the New York Times. Please proceed.
Mickey Maynard - New York Times: Good morning everybody. I have a question for you about this quarter in general. From what Mr. Mulally said about the third and fourth quarters, it sounds like this might be more of an anomaly than a trend, and I wonder if you could talk about that. I mean, second quarters are traditionally when you do well and I think you earned something like $1.7 billion back in 1994 or something like that. So is this kind of a one-time occurrence and we’re going to have some bad, maybe three bad quarters and then another good second quarter? How do you see it shaping up ahead?
Don Leclair: No, I don’t think so Mickey. The way I would think about it is we’ll continue to improve. And as we pointed out, the third quarter is traditionally lower because of the lower volume, but overall, as you noted, we improved the guidance for the year-end 2007 also. So I think it reflects more the tradition of the third quarter, but overall, for the fundamental automotive operations, our plan is to continue to improve and get to profitability in 2009.
Mickey Maynard - New York Times: Ok, I’m sorry, but you did say significant losses in the third and fourth quarters. Did you only mean the third quarter?
Don Leclair: I think that when we say the losses, clearly for the year we’re going to lose, mainly because of North America. So we haven’t changed that, overall for the year we think the losses are going to be less that what we had in our plans or a little bit ahead of plan. But clearly we’re still finding our way back to profitability in North America.
Mickey Maynard - New York Times: Ok, and the last thing I wanted to ask you is, over the last couple of months, there’s been sort of this whispering campaign that if Ford has another couple of bad quarter, then you could end up considering Chapter 11. First of all, have you heard that yourself, and second of all, given this quarter, should we stop talking about that possibility?
Don Leclair: That certainly is not in our plan, and when we put this plan together, over the last year, in addition to operate profitably, that’s just the absolute cornerstone of the plan, accelerating the development of the new products to stabilize the market share and then start to possibly grow again, of course the third piece of the plan was to secure financing for both the restructuring and for the bringing in the new products on line and we are really pleased with going to market when we did, and the response we got from everybody. So we’re in great financial shape and liquidity and now our plan is and what you are seeing here in the second quarter is to keep improving the fundamentals of the business and bring out the new products and get back to profit building and then possibly grow the company, so we are talking about that, and what I could understand from the history, why some people would, but clearly we are very, very encouraged with the progress we are making on this plan.
Mickey Maynard - New York Times: Thank you.
Don Leclair: You bet.
Operator: Thank you very much Ma’am. Ladies and gentleman, your next question comes from Tom Kirsher of Associated Press. Please proceed.
Tom Kirscher, Associated Press: Hello gentleman. There are rumors swirling around over in India about the jag sale being tata, they one of the automakers over there and that it may come as soon as this week. Will it happen that fast, is there any truth to that?
Unidentified Company Representative: Maybe, ask me the question again, I missed, you cut out on part of it.
Tom Kirscher, Associated Press: I am sorry. There are rumors floating around in India that the Jag Land Rover sale would be too Tata and that it could take place as soon as this week. Is there any truth to that?
Unidentified Company Representative: Did you say this week?
Tom Kirscher, Associated Press: Correct.
Unidentified Company Representative: Oh, I think that’s a bad rumor. No, clearly that would not be the case.
Tom Kirscher, Associated Press: Ok.
Unidentified Company Representative: The way we characterize it is that with the response that we are getting, which we are very encouraged about, we are now moving to a next stage (inaudible) failed discussions with all of the people that have shared interest.
Tom Kirscher, Associated Press: Ok.
Unidentified Company Representative: And we have no comment on the people that are interested at this point.
Tom Kirscher, Associated Press: Ok, very good. The other question I had was, there, a lot of people are saying that it is bad timing to have a good quarter, and going into the contract talk, do you think this will have any impact, your positive results here, will have any impact with on talking with the UA government.
Unidentified Company Representative: Absolutely not. The neatest thing about working closely with the UAW and with everybody over the last few months is that everybody really does understand the situation we’re in and just like we pointed out, we still lost $279 million in North American operations, and we have a lot of work to do to get back to profitability. And the way we are approaching this is that long term we need the key element of our competitiveness so that we can compete with the best in the world. And we all know that, and all our participants know that, and that’s our focus, and we’re making great progress on that. Now respect that, I think it’s never a bad time to have a good quarter. And again we’re very pleased and we’re very encouraged that our, that we are making such great progress on the plan.
Tom Kirscher, Associated Press: Thank you, I’ll sneak one last one in here. Can you say, give an estimate on the cash burn at all, you said slightly less than the $17 billion that you had said previously.
Unidentified Company Representative: Yea, we said earlier 15 or 16 might be a better number the way it looks.
Tom Kirscher, Associated Press: Ok, thank you.
Unidentified Company Representative: You bet.
 Operator : Thank you very much sir. Ladies and gentleman, your next question comes from the line of Peter Woodman, Press Association News, please proceed.
Peter Woodman, Press Association News: Yes, this is Peter Woodman, from the Press Association in London. I’d just like to ask, Mr. Mulally, (inaudible) what assurances he can hold out for the staff in the UK, working at Land Rover, and Jaguar, if the companies are to be sold as far as the plot retain appliances is concerned and also about jobs?
Alan Mulally: I think that the most important thing that we talked about are these two great brands and the fact that we have continued to invest in these brands, and they’ve got great products, and they got even more products coming online, they’ve been working their productivity, increasing their competitiveness, so no matter what we decide going forward, I see a very bright and very exciting future for Jaguar and Land Rover. And they’re continuing to create their future with all of the actions that they’re taking today on their quality and productivity, and they’re going to be great.
Peter Woodman, Press Association News: And could I just ask what sort of time scale we are looking at. You said with some amusement it wouldn’t be this week, but what sort of time scale are we looking at?
Don Leclair: We haven’t put a specific time frame on it, but what we’re doing now is moving to the next step of more detailed conversation with the people that are interested and we’re very encouraged by the response that we’re getting, and we’ll keep you informed as we go.
Peter Woodman, Press Association News: Thanks very much.
Operator: Thank you sir. Ladies and gentlemen, you next question comes from the line of Bill Koenig of Bloomberg News. Please proceed.
Bill Koenig - Bloomberg News: Good morning. I’ll take one more stab at Jag and Land Rover. Given that you said earlier on the call that you’re recognizing the edges on Jaguar and Land Rover, what’s the likelihood that it would be sold to whomever. I mean, are we looking at an 80% or 90% thing, or a 50/50?
Don Leclair: Bill I’m really sorry but you’re cutting out there and we cannot hear you.
Bill Koenig - Bloomberg News: Sorry about that, I’ve got a new headset here. Is that better?
Don Leclair: Uh, a little bit.
Bill Koenig - Bloomberg News: OK, what I was asking is what is the likelihood that Land Rover and Jaguar will be sold to whomever? Not asking about any specifics, but are we looking at an 80/90 percent likelihood, a 50/50? I was just wondering if you can provide any color along those lines?
Don Leclair: I think great than 50%.
Bill Koenig - Bloomberg News: All right, thank you.
Operator: Thank you very much sir. Ladies and gentlemen, your next question comes from the line of John Stoll of the Dow Jones. Please proceed.
John Stoll - Dow Jones: Don, you said during your comments earlier that there were some capacity restraints in, I believe South America, Brazil, and China. You may have outlined this a little, I may have gotten a little sidetracked covering the specifics of your conversation earlier, but have you outlined what you will do about those capacity concerns. Are they near term, or is this something you’ve got to take a harder look at over the long term?
Don Leclair: Well, we are opening a new assembly plant in China later this year, and we’re going to production of our vehicles, Ford vehicles hopefully next year, and that will be a significant increase in our capacity in China. We’re working through a series of options to economically expand our available capacity for the South American market. So we expect to address both of those in the reasonably near term.
John Stoll - Dow Jones: Ok, can you discuss any of the options in South America?
Don Leclair: No, John, I think we’d rather not. It’s been a series of things we’re going through to evaluate what’s the most economical way to provide capacity for the South American market.
John Stoll - Dow Jones: Ok, and I guess just to clarify, because there’s been a lot of questions about the UAW and how you’re going to finance a supposed [VIBA] deal or something of that nature, restructure the way that the liabilities are on the balance sheet right now. Are you confirming that’s something you’re looking at? That’s a Viba or something equivalent to unloading some of these liabilities? If so a) have you discussed this with the union yet and b) have you discussed this with GM and Chrysler as something that all three of you could do together?
Don Leclair: We are looking at every element of our competitiveness going forward. And the financing plan that we have in place will provide us with the capability to consider those options.
John Stoll - Dow Jones: Ok, thank you gentlemen.
Operator: Thank you very much sir. Ladies and gentlemen, your next question comes from the line of Tom Walsh of the Detroit Free Press. Please proceed.
Tom Walsh - Detroit Free Press: Hello guys. In that vein, I was going to ask specifically about your healthcare spend. What was your healthcare spend total in 2006, what will it be in 2007 and what change in that healthcare spend do you anticipate out of labor negotiations.
Don Leclair: Are you talking about the total or just the hourly retiree or what?
Tom Walsh - Detroit Free Press: What piece of it? Hourly retirees are what I’m most interested in, but however you have it and can get at it.
Done Leclair: Well, last year, I think our expense was about $2 billion a year. That’s what it was last year. It will be less than that this year because of the changes that we made.
Tom Walsh - Detroit Free Press: Right, GM said theirs went down by about a half a billion largely due to the changes already negotiated. I have a number on your change
Don Leclair: We said before, our agreement that we negotiated and was approved by the courts last year, saved I think $640 million.
Tom Walsh - Detroit Free Press: Ok, and do given the closeness of the vote to get that deal, the 51%, how much more do you think you can realistically get going forward as you launch into contract negotiations?
Don Leclair: As we’ve said a couple times before, we’re really not going to comment on that today. I mean, we had a history of a really good relationship with the union, and we don’t discuss it publicly.
Tom Walsh - Detroit Free Press: Ok, thanks.
Don Leclair: You bet.
Operator: Thank you very much sir. Ladies and gentlemen, your next question comes from the line of David Kylie of Business Week. Please proceed.
David Kylie - Business Week: Hi gentlemen. I wanted to ask, you talked about CapEx earlier, and how it’s stable about 7 billion. Have you started to dial down future investment in the brands that you’re planning to sell yet, and do you know if the likelihood is that you’re going to get rid of Volvo, and Jaguar and Land Rover, how will that affect CapEx in the next couple of years? Will you channel that money into the remaining brands or do you expect CapEx will go down?
Don Leclair: With respect to your first question, David, we have not scaled back our plans. We’ve focuses them even more on product development across all the brands, and the improvement that we’re seeing is part of our strategy to improve the efficiency of our product development going forward. And I think we’ll continue to see that improve as we simplify the product lines, simplify the offerings, and reduce the complexity of the vehicles, and as that flows through the entire value stream I think we’ll see continuous improvement in the productivity of our investment in new products. And with respect to your second question, maybe share a little bit more about what you’re thinking there.
David Kylie - Business Week: Well, I just wondered if without those brands to fund, if you expected to keep the level where it is and channel that into more products for Ford, Lincoln and Mercury, or would you expect, in terms of lowering your overall costs going forward, would you expect CapEx to go down proportionally to what you’re spending on…
Don Leclair: I see, I understand now. Our thought about that clearly is the competitiveness of our product line and we’re really encouraged with the Ford Lincoln Mercury brand, with the progress we’re making and the customer acceptance. Especially with the improvements that we’re making in initial quality and long-term quality and the appeal of the vehicles, and the recognition for the safety enhancements. And the product line with the Focus and the Fusion and the new Taurus and then the crossovers with the Escape and then the hybrids edge along with the bigger SUVs and the trucks. It seems to us that we have a very competitive product line that we just want to keep a real consistency of purpose on that product line, and then continuously improve each of those models year after year. That is what we have reflected in our capital spend, and so I don’t see much change to our plan going forward.
David Kylie - Business Week: And just kind of a quick part two, on Jaguar and Land Rover, I’ve seen estimates from Wall Street on what you would net out from a sale of that, and there’s a broad range. I’ve seen as low as a $1.5 billion and I’ve seen as high as $6.5 billion, for the two. I just wondered from your perspective, which of those you thought was closer to it.
Don Leclair: Yeah, we have no comment on that at this point, David.
David Kylie - Business Week: Thank you.
Don Leclair: The neat thing is that clearly we have continued to invest in new brands, and they’re terrific brands and they’re in great shape and it’s a good time to review the best thing for everybody going forward.
David Kylie - Business Week: Thank you.
Don Leclair: You bet.
Unidentified Company Representative: Now we have time for one more question.
Operator: Thank you very much ma’am. Your last question comes from the line of Bryce Hoffman of the Detroit News. Please proceed, sir.
Bryce Hoffman - Detroit News: Congratulations gentlemen.
Alan Mulally: Thanks a lot Bryce.
Bryce Hoffman - Detroit News: I just wanted to ask you Alan, talking this week with Ron at UAW, he’s made it clear that he wants any concessions the UAW makes in the upcoming talks to be tied to what he calls shared sacrifice on the part of Ford management. Is that something that you’re prepared to do?
Alan Mulally: Well I think as we go forward it’s going to be all about competitiveness and we expect all the skills that we have we want that world class talent, and the market drives, actually drives, the predetermination and the keeping of world class talent and the important thing is that we’re competitive at every position, throughout our entire team.
Bryce Hoffman - Detroit News: Thanks a lot.
Alan Mulally: You bet.
Unidentified Company Representative: With that, that concludes today’s presentation, thank you for joining us.
Operator: Thank you very much ma’am and thank you ladies and gentlemen for your participation in today’s conference call. This concludes your presentation, and you may now disconnect. Have a good day.